Operator: Welcome to the Synchrony Financial Fourth Quarter 2018 Earnings Conference Call. My name is Vanessa and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. And I will now turn the call over to Mr. Greg Ketron, Director of Investor Relations. Sir, you may begin.
Greg Ketron: Thanks, operator. Good morning everyone and welcome to our quarterly earnings conference call. Thanks for joining us. In addition to today's press release, we have provided a presentation that covers the topics we plan to address during our call. The press release, detailed financial schedules, and presentation are available on our website, synchronyfinancial.com. This information can be accessed by going to the Investor Relations section of the website. Before we get started, I wanted to remind you that our comments today will include forward-looking statements. These statements are subject to risks and uncertainty and actual results could differ materially. We list the factors that might cause actual results to differ materially in our SEC filings, which are available on our website. During the call, we will refer to non-GAAP financial measures in discussing the company's performance. You can find a reconciliation of these measures to GAAP financial measures in our materials for today's call. Finally, Synchrony Financial is not responsible for and does not edit nor guarantee the accuracy of our earnings teleconference transcripts provided by third-parties. The only authorized webcasts are located on our website. Margaret Keane, President and Chief Executive Officer; and Brian Doubles, Executive Vice President and Chief Financial Officer will present our results this morning. After we complete the presentation, we will open the call up for questions. Now, it's my pleasure to turn the call over to Margaret.
Margaret Keane: Thanks, Greg. Good morning, everyone, and thanks for joining us. I'll begin on slide three. We ended 2018 with a strong fourth quarter which sets the foundation for 2019. We have a number of significant areas to cover today. So I'm going to spend my time covering our business highlights including the renewal and extensions of several key programs, as well as the direction we are going with the Walmart portfolio later this year. Brian will detail our financial results and our outlook for 2019, as well as the potential financial impact of the Walmart portfolio sale later in the call. A very significant and exciting development in the fourth quarter was our renewal with Sam's Club, a top five program for us. By extending our strategic partnership with Sam's Club, we will continue to provide enhanced financing options for Sam's Club members across the retailer's nearly 600 clubs. Sam's Club is a valued and longstanding partner and we are very much looking forward to continuing to deliver innovative products and capabilities and fantastic customer service to help grow membership and sales. Further, we have come to an agreement with Walmart and Capital One on the sale of the Walmart portfolio which will be acquired by Capital One. Brian will provide more details on this later in the call, but I will emphasize that in the coming months we are committed to a seamless transition of the program to Capital One. I'm happy to report that we also renewed several other key partnerships over the last few months. We are very pleased to renew and extend our relationships with Amazon under a long-term agreement building on our 11-year relationship with them. We continue to work with Amazon on enhancing the Amazon store card experience for account holders. We recently launched account management capabilities to a voice command using Alexa, as well as a native app where you can check balances, look up account activity and rewards and manage payments. We look forward to continuing our high level of engagement with Amazon well into the future. We also signed a new co-brand program with eBay, building on a relationship that began in 2004. We are excited about the launch of our new eBay MasterCard, which has attractive value props that reward cardholders with points each time they use their card on and off the eBay website with more points accumulating for purchases made through eBay. We are happy to offer this new program in partnership with one of the world's largest online marketplaces and believe we can help add significant value to eBay and its U.S. customers. We are excited to renew our relationships with Google. Through this partnership, we provide financing for Google store hardware products including Pixel and Google Home products. We look forward to continuing to work with Google and the future prospects of this program. During the quarter, we also extended and expanded our relationship with Qurate Retail Group, one of the largest e-commerce and mobile commerce company in the United States. As part of the expanded partnership, we will provide private label credit card services to HSN starting in August of this year. We are, obviously, very pleased with this program. We also extended our relationship with QVC, which we have since 2005 and also with zulily, a relatively new and successful partnership. Our recent renewals and new program wins further demonstrate our strength in the online retail space, highlighting our e-commerce and digital capabilities. We are also happy to add a new retail card partnership with Harbor Freight, a discount tool and equipment retailer with 900 stores nationwide. In our Payment Solutions business, we renewed a key partnership with Mohawk, a leading global floor manufacturer. We also added a new relationship to our Payment Solutions business. We announced a strategic industry-first credit card partnership with Fanatics, the global leader in license sports merchandise. The long-term partnership will offer fans a new way to pay for merchandise in their account for their favorite team and players with a branded Fanatics credit card. In addition, cardholders will receive special offers to unique sports experiences and will be part of the Fanatics FanCash loyalty program. Together, we will leverage our deep expertise in data analytics to deliver personalized shopping experiences and enhanced loyalty for fans. During the quarter, we also significantly extended our CareCredit network and card utility with Walgreens' recent agreement to accept CareCredit in all 9,000 stores. With the program expected to launch in the first quarter of this year, cardholders will be able to use their CareCredit cards at Walgreens for all of their health and wellness feeds, including prescriptions, deductibles and co-pays. With this new relationship, CareCredit will be accepted at over 17,000 pharmacies nationwide for pharmacy, health, beauty and personal care purchases. Also, in CareCredit, with the recent addition of a new executive partnership with the Medical Group Management Association and our successful peer review by the Health Care Financial Management Association, the CareCredit network has further positioned itself for continued rapid expansion into various new health care specialties in the health system space generally. It was not only a very productive quarter for us, but a very productive year. We accomplished a lot in 2018 including the renewal and extension of five of our largest ongoing programs: PayPal, Lowe's, JCPenney, Amazon and Sam's Club. Across all of our platforms, we renewed more than 50 existing partnerships, but also signing more than 35 new business deals. We also expanded into 11 new CareCredit specialties. And earlier this year we acquired Loop Commerce, a technology leader in digital and in-store gifting services, which brought into our product line and technology capabilities. Overall, it was also a breakout year for technology. Our investments over the past four years are increasingly contributing to our success. Data analytics, AI, the cloud and others are now credit and customer service innovation and new digital and mobile customer experiences. Looking ahead, we continue to have a strong growth trajectory and we will continue to pursue partnerships on economic terms that meet our risk-adjusted return threshold. I will now turn the call over to Brian to detail our financial results and our outlook for 2019.
Brian Doubles: Thanks, Margaret. I'll start on slide six of the presentation. This morning, we reported fourth quarter earnings of $783 million or $1.09 per diluted share. Loan receivables were up 14% and interest and fees on loan receivables were up 13% over last year, reflecting the addition of the PayPal Credit portfolio in the third quarter. We also continued to deliver solid organic growth. Overall, we're pleased with the growth we generated across the business as well as the risk-adjusted returns on this growth. The interest and fee income growth were driven primarily by the growth in receivables. Purchase volume grew 10% over last year and average active account growth was 8%. The positive trends continued in average balances, with growth in average balance per average active account, up 5% compared to last year. RSAs increased $76 million, or 10%, from last year in line with receivable growth. RSAs as a percentage of average receivables was 3.8% for the quarter compared to 3.9% last year. The provision for loan losses increased $98 million or 7% from last year, driven by the PayPal Credit reserve build, partially offset by moderating credit trends. The reserve build in the quarter was $204 million, in line with our expectation of $200 million to $250 million. I will cover the asset quality metrics in more detail later in the presentation. Other income was up $2 million, while interchange was up $14 million driven by continued growth in out-of-store spending on our dual card. This was offset by loyalty expense that increased by $15 million, primarily driven by everyday value propositions. As a reminder, the interchange in loyalty expense went back to the RSAs, so there is a partial offset on each of these items. We expect loyalty program expenses as a percent of interchange revenue to continue to trend near 100% with some quarterly fluctuation. Other expenses increased to $108 million or 11% versus last year, driven primarily by expenses related to the addition of the PayPal Credit program and business growth. The expense growth rate will continue to be impacted by the addition of the PayPal program until we are comparing against quarters with PayPal on the run rate. We will also continue to make strategic investments in our sales platforms and our direct deposit program, enhancements to our digital and mobile capabilities and investments to automate and streamline the back office. So overall, the company generated strong performance for the fourth quarter, especially considering the reserve build related to adding the PayPal Credit portfolio. I'll move to slide seven, and cover our net interest income and margin trend. Net interest income was up 11%, driven primarily by the addition of the PayPal portfolio and loan receivables growth. The net interest margin was 16.06% compared to last year's margin of 16.24%. The margin was mainly in line with our expectations. We benefited from a higher mix of receivables versus liquidity on average compared to last year, as we deployed excess liquidity to support the PayPal portfolio acquisition and receivables growth. Also impacting the margin was a decline in the loan receivables yield and an increase in interest bearing liability cost. The loan receivables yield was 21.2%, a decline of 23 basis points versus last year, mainly due to the impact of adding the PayPal portfolio. The increase in total interest bearing liabilities cost was up 52 basis points to 2.48% reflecting higher benchmark rates. We will cover our expectations for the margin going forward in our 2019 outlook later. Next, I'll cover our key credit trends on slide eight. In terms of specific dynamics in the quarter, I'll start with the delinquency trends. The 30 plus delinquency rate was 4.76% compared to 4.67% last year and the 90 plus delinquency rate was 2.29% versus 2.28% last year. The year-over-year trends in both the 30 plus and 90 plus delinquency rates were relatively stable for the third quarter in a row. If you exclude the impact of the PayPal Credit portfolio, the 30 plus delinquency rate improved by approximately 15 basis points and the 90 plus delinquency rate improved by approximately five basis points compared to the prior year, reflecting the impact of our underwriting refinements and a more modest impact from normalization. Moving on to net charge-offs. The net charge-off rate was 5.54% compared to 5.78% last year and in line with our expectations. While the net charge-off rate benefited from the purchase accounting impact from the addition of the PayPal Credit portfolio, the credit trends in the core portfolio also continued to improve. Excluding the PayPal Credit portfolio impact, the net charge-off rate was down by approximately 10 basis points compared to last year. The allowance for loan losses as a percent of receivables was 6.9% and the reserve build from the third quarter was $204 million. As I noted earlier, the reserve build was in line with our expectations due to the improving credit trends, resulting from the underwriting refinements we made. These underwriting refinements continued to drive changes to our purchase volume mix by FICO score. If you look at purchase volume by FICO stratification, excluding the impact of the PayPal Credit portfolio, we continued to grow at a fairly strong pace in accounts with a FICO score of 7.21 or higher, which increased 7% over the same quarter last year. While purchase volume for accounts with FICO scores of 6.60 and below declined 9%, reflecting some of the modest tightening we've been doing. These trends helped inform our view of loss expectations for this year and beyond. In summary, the core credit trends have leveled off and are showing improvement in line with our expectations and we expect the core trends to continue to show stability as we move forward assuming stable economic conditions. We continue to see good opportunities for continued growth at attractive risk-adjusted returns. Later I’ll provide our outlook on credit expectations for the upcoming year. Moving to slide nine, I will cover our expenses for the quarter. Overall expenses came in at $1.1 billion, up 11% over last year and were primarily driven by the acquisition of the PayPal Credit program and growth. The efficiency ratio was 30.4% for the quarter versus 30.3% last year and in line with our expectations. The increase was primarily driven by the timing of strategic investments. Moving to slide 10, the key highlights are, we have maintained our funding mix and strong capital and liquidity levels while on-boarding the PayPal portfolio. We also made progresses here in deploying capital through growth and by executing the capital plan we announced last May, which increased our dividends and the size of our share repurchases through June of 2019. We are committed to maintaining a strong balance sheet with a robust capital and liquidity profile. Over the last year we've grown our deposits over $7.5 billion, primarily through our direct deposit program. This puts deposits at 73% of our funding, maintaining the level we have been operating at over the last year. We expect to continue to drive growth in our direct deposit program by continuing to offer attractive rates and great customer service as well as building out our digital capabilities. Longer term, we continue to expect to grow deposits in line with our receivables growth. Overall, we are pleased with our ability to attract and retain our deposit customers. Turning to capital and liquidity, we ended the quarter at 14% CET1 under the fully phased-in Basel III rule. This compares to 15.8% on a fully phased-in basis last year, reflecting the impact of capital deployment through the acquisition of the PayPal Credit portfolio and continued execution of our capital plan. During the quarter, we continued to execute on the capital plan we announced last May, by paying a common stock dividend of $0.21 per share. After repurchasing nearly 1 billion of common stock during the third quarter, we did not repurchase stock during the fourth quarter, as we are out of the market pending developments around Walmart and the number of significant renewals we announced. We've approximately 1 billion remaining in potential share repurchases of the 2.2 billion, our Board authorized through the fourth quarters ending June 30, 2019. We will continue to execute the new share repurchase plans subject to market conditions and other factors, including any legal and regulatory restrictions and required approvals. Total liquidity including undrawn credit facilities was $19 billion, which equated to 18% of our total assets. This is down from 22% last year, reflecting the deployment of some of our liquidity to support the PayPal portfolio acquisition. Overall, we continue to execute on the strategy that we outlined previously. We are committed to maintaining a very strong balance sheet with diversified funding sources and strong capital and liquidity levels. And we expect to continue deploying capitals through growth and further execution of our capital plan in the form of dividends and share repurchases. Next on slide 11, I'll quickly recap our 2018 performance compared to the outlook we provided last January. Starting with loan receivables, our growth of 14% was in line with our outlook range of 13% to 15% including the PayPal Credit portfolio. The growth continued to be driven by the strong value props on our cards and our marketing strategies with our partners delivering solid organic growth. Our continued investments in mobile, innovation and data analytics capabilities are enhancing our ability to drive organic growth as well as win new programs. Moderately tempering some of the growth was the impact from the underwriting refinements we began to implement in the second half of 2016. Net interest margin was 15.97% for the year at the higher end of the 15.75% to 16% range we provided back in January. A more optimal asset and funding mix along with some benefits from a lower than expected deposit rate data were the major drivers of the performance. RSAs as a percent of average receivables came in lower than our outlook last January. RSAs came in at 3.7% versus the original outlook of 4.2% to 4.4%. The lower RSA percent was mainly driven by a modest reduction in yield given improving delinquency trends. The elimination of the RSA payment on Toys"R"Us and portfolio mix. This demonstrates the countercyclical nature of the RSAs. Our net charge-off rate of 5.63% was in line with our outlook of 5.5% to 5.8% range for the year. Net charge-offs continue to normalize the degree off the very favorable levels in 2015 and 2016, and as expected, the trends stabilized in the second half of this year. We also saw reserve builds declined from over $1.2 billion in 2017 to near $850 million in 2018, as expected. The efficiency ratio for the year was 30.8% also in line with our expectations. We continued to drive operating leverage to higher margins, revenue growth and increased productivity. And lastly, we generated return on assets of 2.8% versus expectations of around 2.5% due to the factors I just noted. Moving to our 2019 outlook on slide 12. Our macro assumptions for 2019 assume the FET continues to tighten this year and the unemployment rate is mainly stable. We are providing the 2019 outlook including the impact of the Walmart portfolio sale expected to occur later in the third quarter or early in the fourth quarter this year. I will also provide some details around other impacts the portfolio sale will have on the reserve and capital deployment. Our outlook for core receivables growth, excluding the impact of the Walmart portfolio sale, is in the 5% to 7% range. The growth rate takes into account strong growth we are seeing from e-commerce and digital and that the impact from the underwriting refinements is now reflected in the ongoing run rate. This also assumes economic trends continue. We expect to grow sales volume at 2 to 3 times broader retail sales and for e-commerce and digital to continue its strong growth. We believe our margin will continue to run in the 15.75% to 16% range this year with the normal seasonality we see quarter-to-quarter. While the 2019 margin, when compared to 2018, will benefit from the PayPal pre-funding impact not repeating in higher benchmark rates, this will be largely offset by a slightly lower revolve rate, as well as excess liquidity for a short period of time due to the Walmart portfolio sale. We expect that RSAs as a percentage of average receivables will trend closer to the 4% to 4.2% range for 2019. The single largest driver of the expected increase in the RSA outlook is the sale of the Walmart portfolio which operates at a lower RSA percentage than our overall rate. The outlook is more in line with our historical run rate and, aside from the Walmart portfolio sale impact, reflects continued strong performance of our programs. The good news here is that we're able to renew and extend five of our largest ongoing programs, beginning with PayPal, Lowe's, JCPenney, Amazon and Sam's Club while maintaining the RSA as a percent of average receivables in line with the historical average for the company and at attractive risk-adjusted returns. In terms of credit, we expect net charge-offs for 2019 will be in the 5.7% to 5.9% range with a slight increase entirely driven by the impacts from the PayPal Credit portfolio, partially offset by the sale of the Walmart portfolio. Excluding the effects of PayPal and Walmart, the net charge-off rate is expected to be flat to 2018. Looking at seasonality in net charge-offs, we typically see the NCO rate trend higher in the first quarter compared to the fourth quarter due to the seasonal decline in receivables. While the increase has historically been in the 40 to 70 basis point range, we expect it may trend towards the higher end of this range given the decline purchase accounting benefit from the PayPal Credit portfolio. Regarding loan loss reserve builds going forward, we expect the reserve builds will continue to transition to more growth-driven builds and less from normalization. We will also see some impact due to the remaining reserve build on the PayPal Credit program. Our expectation is that reserve builds for the first quarter of 2019 will be similar to what we saw in the fourth quarter around $200 million. This would exclude any reserve impact from the sale of the Walmart portfolio which I will get to shortly. Moving to the efficiency ratio for 2019. We expect to continue to operate the business with an efficiency ratio of approximately 31% similar to 2018. We expect to continue to drive operating leverage in the core business. However, this will partly offset by continued spend on strategic investments we feel are important to the business. Regarding Walmart's impact on the efficiency ratio, we are executing cost actions that will offset the revenue impact from the portfolio of being sold. Our efficiency ratio continues to compare favorably to the industry, and we feel well-positioned to manage this going forward as we expect the business to continue to generate positive operating leverage over the long term. Finally, consistent with our track record, we expect to generate a return on assets of 2.5% or greater in 2019. Before I conclude, I wanted to provide some additional information on the impacts from the Walmart portfolio of sale. Given we now have an agreement to sell the portfolio it will be moved to loans held for sale in the first quarter. Our future expected losses in the portfolio will be limited to the remaining time we have it and in the first quarter we will be releasing reserves in the range of approximately $500 million based on the expected sale date. This begins to free up part of the capital related to the Walmart portfolio that we communicated earlier. Beyond the first quarter, additional capital will be freed up from future reserve releases on the portfolio and ultimately the sale of the portfolio later this year. We expect the size of the portfolio will be approximately $9 billion at the time of the sale. The capital freed up will be deployed through share repurchases and/or higher returning alternatives. Overall, we continue to believe the combination of capital deployment and cost savings will result in the replacement of the EPS the program was generating. And with that I'll turn it back over to Margaret.
Margaret Keane: Thanks, Brian. I'll close with a recap of our strategic priorities, the continued focus of our assets to drive value to our partners, cardholders and shareholders. A top priority remains to execute successfully across our three platforms, building upon our capabilities in marketing, analytics, loyalty and digital and mobile technology. We still have a lot of room to grow organically and we will focus on driving that organic growth, but also evaluating potential new programs with appropriate risk-adjusted returns. We will continue to make investments to expand the utility of our cards and innovate with our partners to create attractive value proposition and drive card usage. We will continue to invest in next-generation data analytics and technology offering. Digital and mobile technologies remained a key focus as these channels become increasingly popular. We will further develop frictionless customer experiences in a digitized environment through the use of customer journey and size. We are also focused on leveraging alternative data and machine learning to further drive innovation, advanced underwriting and authentication. Our banking platform remains an important funding source. And as such, we will continue to broaden our products and capabilities to help increase loyalty, diversify funding and drive profitability. We will also continue to explore opportunities to expand and diversify the business in areas like health care finance, small business and proprietary networks. It remains a key priority to operate our business with a strong balance sheet and financial profile. We have proven our ability to do this and it will remain a top priority for us in the future. We expect to maintain strong capital and liquidity to support our operation, business growth, credit rating and regulatory targets. Finally, we will continue to utilize our strong capital position to support growth, which are in capital through dividends and share purchases and M&A and continued investments that support our business objectives and capabilities. We believe we are well-positioned for long-term growth and we look forward to driving results for our partner’s, cardholders and shareholders in 2019.
Greg Ketron: Thanks, Margaret. That concludes our comments on the quarter. We will now begin the Q&A session. So that we can accommodate as many of you as possible, I'd like to ask participants to please limit yourself to one primary and one follow-up question. If you have additional questions, the Investor Relations team will be available after the call. Operator, please start the Q&A session.
Operator: Thank you. We will now begin our question-and-answer session. [Operator Instructions] And we have our first question from Moshe Orenbuch with Credit Suisse.
Moshe Orenbuch: Great. Thanks and congratulations on a whole bunch of things that you announced. Maybe Margaret, you could just summarize, because I think there's been some debate over the last few months about the level of expertise from an e-commerce standpoint. And I've been impressed actually with the partners that you've renewed and the partners that you've added. And can you just talk about the contribution that that makes to your growth rate? And what it means for additional partnerships that you've been able to add?
Margaret Keane: Yeah. Thank you. Thank you, Moshe. I think that all of you know that we've been working really hard to continue to enhance our digital capabilities, and we've been focusing both on the digital side as well as analytics. And I think if you see some of the names and partners that we've been also with or win over the last 12 months, you can see we're certainly winning in the digital space whether it’s Amazon, PayPal, eBay, LazMall, zulily. We're winning in the space and I think if we look at our overall performance, our year-over-year mobile growth totaled 39% and 52% with PayPal in the fourth quarter. U.S. growth is about 16%. Our online sales for retail card penetration was 35%. And our apps, actual apps occurring digitally are up 45%, 49% with PayPal in the fourth quarter. And the last piece, I'd add is, we've talked about SyPi is -- which is really the whole plug-in that we do with our partners where you don't really meet their site through actually ending partners application. We have that out there with 21 brands and partners right now. We just hit over 1 billion in credit card payments in that application. So our view is we have a soup to nuts capabilities from applying and buying to a digital card, to getting your loyalty rewards, to then servicing your account within the apps. So our perspective is we certainly have the capability and continue to enhance that capability. Probably the biggest enhancement now is taking all that digital capability and enhancing it with data and customer journeys as we continue to make each experience frictionless.
Moshe Orenbuch: Okay. Thanks. And a follow-up question, Brian, you talked about having $1 billion remaining and then the $500 million that is now available as of the reserve release. Could you talk a little bit about perhaps the cadence of how you would deploy that and whether it's buyback or other alternatives?
Brian Doubles: Yeah, sure, Moshe. So, look now that we have clarity around the portfolio being sold, we'll start to free up the capital that's allocated to portfolio. As we said earlier, we still believe the transaction allows us to offset the EPS impact to Walmart. It's accretive relative to our renewal. And so I think in terms of timing, if I just take you through the year, we indicated that in the first quarter we’ll move the portfolio that held for sale will only retain reserves for the period that we’re holding the assets. So you'll see a fairly significant reserve release in the first quarter. That should be around $500 million. And then you'll see subsequent reserve releases in the second quarter and third quarter, somewhere in the range of $200 million to $250 million in each quarter. And so that steps you through the reserve releases and what to expect there. And then, obviously, we expect to sell the assets late third quarter, early fourth quarter. And that's when we'll free up the additional capital that's allocated to the portfolio. So that gives you a sense of the cadence on the capital release in terms of the timing on deployments. We’re, obviously, in discussions with the regulators on our board on how to go about that and timing and when we have more to share there. We'll, obviously, share it with all of you.
Moshe Orenbuch: Got it. Thanks very much.
Brian Doubles: Thanks.
Operator: Thank you. We have our next question from John Hecht with Jefferies.
John Hecht: Thanks very much. Real quick I guess clarification, Brian. You mentioned a $200 million reserve build in Q1, but then separate from that, you've got a release from Walmart. Are we -- the distinguished -- the Walmart portfolio at this point given that its going -- it won't held for sale from call it the core portfolio? Or how do we think about that basis there?
Brian Doubles: Yeah. I would take it in those two pieces, John. So I would take in the first quarter, we expect the reserve build for the core portfolio plus the remaining build related to PayPal. We're still working our way through that. We think that is a $200 million approximate build in the first quarter. And then you'll see approximately $500 million release in the first quarter related to Walmart. So you have those net $300 million release in the first quarter.
John Hecht: Okay, thanks. And then, you guys have really worked through a lot of the partnerships extended brought out new partnerships. Margaret, I'm wondering, can you tell us has there been any changes in the structural components of the contracts? Or is it largely like it's been the last several years?
Margaret Keane: It's largely the same. I think, if you look at the overall plan for 2019, you could see the RSA's and our overall return for the business returns remains the same. So, we're just really pleased about how the quarter ended and how we actually successfully want to renew throughout 2018. We had 50 renewals overall -- for the overall business and we're really confident. I think one of the things that we've continually said is we're going to renew deals that work for us and that are important to us. And that we have high-level engagement from our partners where we feel we can really grow. And I think everyone that we've been able to renew and win our partners that fit that description.
John Hecht: Wonderful. Thanks very much guys.
Brian Doubles: Thanks.
Operator: Our next question comes from Sanjay Sakhrani with KBW.
Sanjay Sakhrani: Thanks. Good morning, and congrats on all these developments. I guess first question is with all these extensions and renewals, should we assume that any appreciable concentration has been pushed out five years now?
Brian Doubles: Sanjay, you're talking about the terms of the agreements?
Sanjay Sakhrani: Yeah. I'm just saying like as far as like any significant renewal you might have going forward in terms of the concentration? Is it fair to assume now we're four, five years away from anything significant?
Brian Doubles: Well, look, I think when you assume, obviously, these are all confidential agreements, but in each case for the large renewals, these are multi-year agreements, multiyear extensions from the last contractual date. And I think that gives you some indication that in all cases this gives us fairly significant amount of time to get in there, drive growth, drive penetration with these partners. So very good extensions in all cases, really attractive financial profile, good returns.
Sanjay Sakhrani: Okay, great. And then I guess a follow-up question for Margaret. I'm curious what you think led to a different outcome on Sam's Club versus Walmart? I know the product and the value props were different, but I mean did they feel just differently about the value you provided versus Walmart? Maybe you could just talk about that a little bit? Thanks.
Margaret Keane: Yeah. I think part of it is really the importance of the credit card program. I think to the Sam's Club, it's a little different than the percentage penetration we had in Walmart. So I think from a member perspective, the card's a big part of Sam's Club sales. So I think that's an important element. I think the other is, and I've said this all along, it's really two separate teams. We have always had a decent relationship with Sam's Club. And I think we leveraged our capabilities and the things we're building to win that relationship. I think one of the things we've talked about throughout this process is how -- this isn't always easy, how important it is for us to continue to deliver for both Walmart and Sam's throughout this transition? And I think as we went through the holiday, we made sure we delivered great customer service to both parties and I think that's how you win in the space. It's really about how you deliver for the partner. And I think we've been able to come out of this in a really good way and we are looking really forward to really continuing our partnership with Sam and helping them grow their sales and extend their membership. I mean, that's what's really important here.
Sanjay Sakhrani: Right. Congrats again.
Margaret Keane: Thank you.
Brian Doubles: Thanks.
Operator: And we have our next question from Don Fandetti with Wells Fargo.
Don Fandetti: So Brian, just to clarify the Walmart portfolio, was there a gain or sale or was it more sort of at par? And then, I guess, essentially what you're saying is, you're sort of reiterating this $2.5 billion of freed up capital, maybe adjusted a little bit by the portfolio size, but essentially no change there. You walk through the reserve, if you could kind of comment on that.
Brian Doubles: Yes, sure. So, look, in terms of the first question, I can't be too specific on the terms, but I will highlight that our ability to replace the EPS didn't hinge on getting a gain on the portfolio. So the capital released from our perspective was really coming from the reserves and the capital that’s allocated to the portfolio. So now that we have clarity on the portfolio sale and the timing, we still believe the transaction allows us to offset the EPS. Other than that, I can't be too specific. And I gave you -- in terms of the capital, I gave you pretty clear walk on the reserves. The portfolio is approximately $9 billion at the time of sale. When we made our first announcement, it was closer to $10 billion. So we do expect a little bit of attrition between now and then, just given some scaling because of marketing funds and things like that between now and close. But I think that’s real.
Don Fandetti: The other clarification, I thought last quarter you had mentioned that you thought the loan yield might be down potentially 50 to 60 basis points quarter-over-quarter, but it looks like it was up. Can you talk about that?
Brian Doubles: The loan yield, just in general?
Don Fandetti: Yes. I mean, I thought it was going to be down a little bit more. I could have that wrong, but it seems like it came in a little bit better.
Brian Doubles: Yes. So what we said that, net interest margin in total would be kind of in that 16% range for the second half of the year and it came in right in line with that. If you look at just the receivable yield, that was down 23 basis points compared to the prior year. And that was entirely driven by the PayPal portfolio. So if you exclude the effects of PayPal, the core yield would have been up approximately 10 bps compared to the prior year, so pretty consistent.
Don Fandetti: Okay.
Brian Doubles: I think, any other noise quarter-to-quarter is probably just normal seasonality, Don.
Don Fandetti: Okay, got it.
Operator: Thank you. Our next question is from Rick Shane with JPMorgan.
Rick Shane: Hey, guys. Thanks for taking my questions this morning. Brian, you'd made the comment that long term the expectation is that the deposits will grow in line with receivables growth. I'm curious what the funding mix is going to look like this year. Will you pay down some debt, or will we actually just see a build in the investment securities until the proceeds are redeployed?
Brian Doubles: Yes, Rick. Look I think in terms of our funding plans for 2018, I would expect them to be largely consistent with where we’ve trended over the last couple of years. Our target ranges are for deposits to be 70% to 75% of the funding, secure to be 15% to 20%, unsecured to be 10% to 15%. I don't see anything as I think about 2019 that really changes that profile in a material way. Now, obviously, we're opportunistic in terms of when to go a little bit heavier on one of those funding sources than others. But, overall, I think that's the target range that we're pretty comfortable with. And you'll see that for most of 2019. The only other thing I would highlight is we're going to be very careful around how we manage liquidity in advance of the Walmart portfolio sales. So we will have to carry some excess liquidity after that sale happens, but we'll look to minimize that as best as we can and we’ll do that through all three of those funding sources.
Rick Shane: Got it. And again, look obviously, the deposit funding is very important part of the long-term strategy and I guess, I'm curious, how easy if you turn on and off as you sort of approach this event call lead to Q3 and then ramp it up going forward?
Brian Doubles: Yes. It's actually fairly easy. And look that's good and bad. I mean, we're steel fairly rate sensitive in the deposit book. And so if we lack the market significantly for a period of time then we'll be able to manage the deposit inflow and the maturities in a way that helps us minimize the excess liquidity that we carry after the Walmart portfolio transitions. So I think it's pretty manageable. You can negate it entirely, but it's certainly something we'll be focused on and it's pretty manageable from our perspective.
Rick Shane: Great. Really appreciate the color. Thanks, guys.
Brian Doubles: Thanks.
Operator: And our next question is from Betsy Graseck with Morgan Stanley.
Betsy Graseck: Hi. Good morning.
Brian Doubles: Good morning.
Margaret Keane: Good morning.
Betsy Graseck: I wondered if you could give us some color as to how the PayPal portfolio is going relative to expectations and as well as a give some color around, how you're thinking about the reserving for that? I know you gave us 1Q, but may be can you give us a sense as to the forward look for the full year coming from them?
Margaret Keane: Sure. I'll start out. First, our partnership is really just fantastic. We have such a high level of engagement between us and PayPal. I think maybe some of you saw the announcements as we are working with PayPal to help deferred load in employees of the federal government, we did that in like 24 hours. And to get that kind of level of engagement in terms of how to service their customers and how to grow the program is just fantastic. So we're fully, fully aligned. The program is operating the way we thought it would. And I think we're just really excited about the overall growth potential as we continue to look at areas of opportunity together for growth. Obviously, we have work to do you to kind of bring the full portfolio on, but we're very focused on delivering for that. And we're just overall really pleased with our partnership and I couldn't be happy about how the program is performing. Brian, on the reserves.
Brian Doubles: Yeah. So, Betsy, on the reserves, we ended the quarter with a $204 million build. We think the first quarter looks very similar in terms of the range and that includes both the reserve build for PayPal as well as the core reserve build. So, we're not going to break out PayPal anymore going forward, but what we'll do is step that out for you as we get through the year, kind of, one quarter at a time. So, we think the PayPal reserve build based on the purchase accounting, that's largely complete by the end of the second quarter, maybe a little bit addressed in the third quarter. But we think $200 million range for the first quarter then in April; we’ll give you a sense for what we think in the second quarter.
Betsy Graseck: Got it. And then on the buybacks, is there any opportunity for you to accelerate that with the Walmart sale, I think the back book sale that you're doing, is there any kind of forward purchase that you can do? I'm just trying to think through, if that's feasible for you?
Brian Doubles: Yeah. Look, it's harder for us to be too specific in terms of timing versus relatively fresh agreement. We now have certainty around timing and other things and we’re in conversions with our board and our regulators about how and when we can deploy that capital. So, I can't be much more specific than that other than, our goal is to deploy it as it’s being freed up, assuming that more in line with all of our capital targets and the board and the regulators are comfortable. So, when we have more to announce, we'll certainly announce it.
Betsy Graseck: Thank you.
Brian Doubles: Thanks.
Operator: Thank you. Our next question comes from Mark DeVries with Barclays.
Mark DeVries: Yeah, thanks. Could you discuss a little more about where we should expect some of the expenses to come out as you manage to a relatively flat efficiency ratio with the Walmart revenues going away?
Brian Doubles: Yes. So, look, first I'd say that we have very detailed plans that we're going to begin executing and have already started to execute this year to get that done. Some of the cost actions will actually happen in advance of the program moving. So, there are some costs that are not directly tied to the program. But I would think about Mark, the majority of the cost actions will be completed as soon as possible after the portfolio is sold. And one of the things that we're, obviously, very focused on as Margaret said is not affecting the performance of the program, making sure we ensure a seamless transition on our part. And so a lot of those cause remain in place until the portfolio transfers. But we do feel like we've got a really good plan in place to offset any impact on the efficiency ratio. We don't expect there to be any impact on our operating leverage. But you'll really see the full benefits of those cost actions in 2020. That will be our first year without the program.
Mark DeVries: Got it. And then on the Amazon renewal, were you able to make any changes to the agreement there that may improve your position in relative to chase like better geography on the website for advertising or acceptance that hold through?
Margaret Keane: Yeah, look, Mark what I would say there is we can't provide any specifics on any of our individual agreements. But as we've said in the past, whenever you do these renewals, you typically move around the economics, you look for ways to drive further alignment between us and the partner, you find ways to drive more growth. And in the case of all of our renewals, we've been able to achieve an attractive financial profile. I think in all cases, we have better alignment with the partner under to go-forward agreement and so we feel really good about what we did with Amazon, but in the case of all the renewals.
Mark DeVries: Okay, thanks.
Brian Doubles: Thanks.
Operator: And our next question comes from Matthew O'Neill with Autonomous Research.
Matthew O'Neill: Yeah, hi, thanks for taking my question. Understand that you're not going to provide specific sort of confidential terms on the Sam’s renewable. I was wondering if you could maybe just kind of give us directionally an idea, was it more of just a push out of the existing contract, or was it really back to the table open book negotiation with a longer potential duration to the renewal?
Margaret Keane: Well, you know, look, in all these cases, these are good negotiations. So we had a good negotiation with our friends at Sam's. We feel really good about the outcome. And I think, as Brian said, this is a multiyear agreement, an extension from when that program was supposed to end. So, for us, I think -- look I think the most positive thing is we've been able to renew Sam's, resolve where the Walmart book is going. And not have the loss sitting over our head. So the overall results of where we ended is, really great for the company. We're very confident that we'll continue to serve Sam's Club really well and help them grow which is what we do. And I think we did all this in the fourth quarter and we delivered in the fourth quarter for our partners. So we feel good and we're very happy about where we landed with the agreement with Walmart and Sam's Club.
Matthew O'Neill: Thanks. And maybe just as a quick follow-up to that. From a higher level, obviously, a huge numbers of renewables on a lot of large partners and impressive outcome with respect to the 2019 guidance maintaining the 2.5 ROA, just curious, in these discussions was it in part motivated by serve an adjustment to the terms as far as on ROA and the share growth with respect to the tax reform? Or were there any other kind of consistent changes throughout the renewables, or was it really just kind of the duration was up. It was time to come back to the table and generally speaking not material changes and similar ROA outlook?
Brian Doubles: Yeah, look, I would say that every one of these is very unique. In some cases, you are moving around some terms, in some cases you're moving around the value prop or the marketing funds to benefit the consumer and drive growth, in some cases, you're tweaking the RSA or the marketing funds. I mean there's just so many different things inside of these agreements so you can move based on what the partner wants and what we want to achieve. I'd say in all cases where we have moved around economics, we do it in a way historically that has benefited the consumer frankly and has – we’ve put dollars to work to drive growth. As Margaret said in all cases, these renewals have a very attractive financial profile. We gave you our 2019 outlook that includes the impact of all the renewals and you can see as you mentioned the RSA percentage and ROA percentage are right in line with the historical run rate. So you always move some things around in these to get both parties happy. But in all cases, we're able to get this done with a pretty attractive financial profile for us.
Matthew O'Neill: Got it. Thanks very much, guys.
Brian Doubles: Thanks.
Margaret Keane: Thanks.
Operator: Thank you. Our next question is from Jamie Friedman with Susquehanna.
Jamie Friedman: Margaret, in your prepared remarks, you had called out something about Google. But I didn't see it on page three. I was just wondering if you could just revisit what you said there, it sounded important?
Margaret Keane: Yes. We renewed our partnership with Google. We actually financed their hardware, so Pixel and items that they sell on their website. So that was an extension we did as well in our fourth quarter. So that's kind of what I said in the prepared remarks.
Jamie Friedman: Okay. And then also in your answer to the first question, you gave some of those technology related metrics that you frequently share. I was wondering if you could repeat those, you were going kind of quick there?
Margaret Keane: Yes, sure. So our year-over-year mobile growth totaled 39%, 52% with PayPal in the fourth quarter. So we continue to see really good traction. I think two things. One is, the additional capabilities we continue to build as we try to make that whole mobile experience wing to wing friction less. But I think the other is, consumers more and more are on their tablets or on their phones in terms of how they're shopping. So that was I think a big move for us. Our online sales, actually sales on our cards online for retail card was 35%. So that continues to grow as well in the fourth quarter. And then, in terms of acquiring new accounts, applications, we're now up to 45% of our apps occurring digitally. If you add PayPal in there in the fourth quarter, it was 49%. And then lastly, we integrated SyPi into 21 of our partners and brands. And that particular SyPi capability allows you to really service your card seamlessly with any app of the retailers, so you never have to leave. And we hit a $1 billion in card payments last year. So we're continuing to see very good traction in terms of the capabilities that we're building out. We worked very closely with our partners as they are looking at their digital roadmap. And we're trying to align with them and deliver every quarter on the needs for those particular partners. So again, really excited about what we've been able to build. And there's a lot -- still lots of opportunity to grow on the digital roadmap, and partnerships with our customers.
Jamie Friedman: Thank you very much.
Operator: And thank you. Our next question is from Chris Brendler with the Buckingham.
Chris Brendler: Hi. Thanks, and congratulations as well. I had a question on PayPal acquisition. And sort of how it's trending, it's kind of hard to see exactly what's going on. But Brain, I think you called out some NIM or yield pressure related to PayPal. And also, just if you can give us a sense of the growth profile on the ROA at this point. It doesn’t quite seem like with delinquencies building and the yield coming down a little bit, I'm not sure how to think about the return profile of the PayPal transaction at this point. Thanks.
Brian Doubles: Yes, sure. So look, we -- I guess, what I would say is, the portfolio or the program is trending exactly in line with our expectations. We knew that there would be a little bit of noise in some of the metrics in 2018. As we indicated, you go to work through that reserve build, the upfront reserve build on the portfolio. We still expect the program to be accretive in 2019, no change to what we said earlier. The impact on yield is really just driven by the fact that the PayPal portfolio itself runs at a lower yield on our overall book. We did make some pricing changes that will start to bleed in over the course of 2019 into 2020. That will offset some of that, but you're really just saying the fact that the PayPal portfolio, given where it's priced, runs at a lower yield than the overall portfolio. And so that drove some of what you're seeing on net interest margin and yield in the quarter. And then, what you're seeing on some of the credit metrics is just the working through the rest of the purchase accounting. So that's largely done this quarter. As we've indicated in the past, the PayPal portfolio will put some upward bias on the net charge-off rate into 2019. We highlighted that as part of our outlook. So if you think about net charge-offs in that 5.7% to 5.9% range that includes PayPal, it includes the partial offset for Walmart. And if you exclude both of those impacts, the core net charge-off rate is flat. So, we try to get you a pretty good indication of where PayPal is influencing those metrics, but I would say generally the program, the portfolio is trending right in line with our expectations.
Chris Brendler: That's helpful. Thanks. And a separate question. You mentioned, Toys"R"Us having, I think a benefit on retailers sharing this quarter. And just sort of studying back since that bankruptcy occurred in 2018, we potentially could have more retail bankruptcies in your portfolio in the future. Is that a glitch from an earnings-neutral event to think in this case Toys"R"Us, like is this test case suggests that we shouldn't worry too much about retailers too much along the future? Thanks.
Brian Doubles: Yeah. Look our goal is to always try and keep it earnings neutral. Toys"R"Us a good example, gives you an indication of the options that we have, when that happens to one of our partners. So in that case, we took those account holders. We converted into a Synchrony branded general-purpose card. We stopped paying the RSA, as we indicated and we use those additional dollars to fund a very attractive value prop. So that's certainly our goal. And we do have options to help mitigate the impact in those cases.
Chris Brendler: Great. Thanks so much.
Greg Ketron: With that, we have time for one more question.
Operator: Thank you, sir. Our last question comes from Bill Carcache with Nomura.
Bill Carcache: Thank you. Good morning. I had a couple of quick ones. First, on your loan growth guidance, what was the balance of the Walmart loans at the end of 2018? I want to make sure that we're looking at the correct point or period and 2018 base for the guide?
Brian Doubles: Yeah. I mean, Bill, I can't give it to you specifically. But we indicated it was 10 billion, expected to be 9 billion when we close, so it's somewhere in between. That's probably as close as I can get you.
Bill Carcache: Okay. And then last just question on tail risk under the agreement. Can you give us a sense of whether we should expect any impact? I understand that the terms of the agreement are tough financial, but should we expect or what kind of impact if any, should we expect -- the impact of the Walmart portfolio to have on your results post sales, if any?
Brian Doubles: It will have no impact on our results post sales. This is a complete transfer of the portfolio. We are retaining no risk. There is no ongoing sharing. There is no law support. There is nothing. This is a very standard clean transaction. So, when it closes, it's closed.
Bill Carcache: Okay. So it's reasonable then to conclude that essentially the three parties for the transactions; yourself, Capital One and Walmart, Capital One's indication last night that its losses are limited, which suggest then that Walmart is playing a role in absorbing losses beyond a certain amount, but not to you guys.
Brian Doubles: Yeah. Look, I can't comment on the agreement between the other two parties. What I can tell you is that our side of this is pretty clean from that perspective, very standard transfer of the portfolio, very market. We're not retaining any risk.
Bill Carcache: Understood. Thank you very much. Congratulations.
Brian Doubles: Thank you.
Greg Ketron: Okay. Thanks everyone for joining us this morning and your interest in Synchrony Financial. The Investor Relations team will be available to answer any further questions you may have. We hope you have a great day.
Operator: And thank you. Ladies and gentlemen, this concludes today's conference call. We thank you for participating. You may now disconnect.